Operator: Good afternoon and welcome to the Entravision Communications Corp. Second Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Walter Ulloa, CEO. Please go ahead. Please go ahead, sir.
Walter Ulloa: Oh, thank you, Danielle. Good afternoon, everyone, and welcome to Entravision's second quarter 2016 earnings conference call. Joining me today on the call is Chris Young, our Executive Vice President and Chief Financial Officer. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. This call is a property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Entravision Communications Corporation is strictly prohibited. Also, this call will include non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today's press release. The press release is available on the company's Web site and was filed with the SEC on Form 8-K. Turning now to our second quarter results. We continued to execute our multi-platform strategy during the second quarter and made solid progress in both our television and digital businesses. While, we remained to work on the audio side, as we cycled against challenging comparisons from last year. That said, our radio assets remain well-positioned that we are benefiting from our Entravision Solution's network as one other industry leading content line-up. We also continue to return capital to shareholders to meet our quarterly dividend. Looking now to our financial results, revenues increased 8% to $64.8 million in the second quarter as higher TV and digital revenues offset a flat audio performance. Consolidated adjusted EBITDA also increased 8% to $18.2 million in the quarter compared to the same period last year. Free cash flow which we defined in our press release was up 46% to $11.8 million or $0.13 a share compared to the prior period and net income was $5.7 million or $0.06 per share representing an increase of 9% over last year. Turning to our TV segment operating results, television revenue increased 8% during the second quarter assisted by the Copa Centenario soccer tournament as well as strong growth in automotive. National revenue was up 22%, while local revenue was flat. Retransmission revenues increased 4% during the second quarter; excluding retransmission revenues television revenues increased 9% in the second quarter. Excluding the impact of retransmission revenues and political revenues core television advertising revenues were up 7% with core national advertising revenue up 18% our core local was down 1% during the second quarter. The automotive category continued to be a strong contributor to our television advertising revenue with 27% year-over-year growth during the second quarter. This growth was driven by double-digit increases from Nissan, Honda, General Motors and Toyota. Revenue growth from both autos Tier 1 and 2 were 6% and 17% respectively, while growth from our Tier 3 local dealerships was an incredible 40% in the quarter. Our television business generated advertising revenue growth across other key advertising categories including legal up 12%, finance 59%, groceries up 22% and political which represented approximately $670,000 in television revenue for the quarter. A roster of television advertising partners continues to expand. During the second quarter we had 44 new television advertisers who spent more than $10,000, which totaled approximately $1.4 million in advertising revenue. Among the largest new brands that begin partnering with Entravision are Smart & Final, Fields Auto Group, General Electric, Bestway Supermarkets and Hasbro. Turning to our ratings performance, our Univision television affiliates built upon their market leadership in the May 2016 sweeps. For adults 18 to 49 in early local news, our Univision television stations finished ahead of their Telemundo competitor in 15 of 17 markets where we have head-to-head competition with the Telemundo affiliate. In late local news, we have finished ahead of our Telemundo competitors among adults 18 to 49 in 14 of 17 markets we have head-to-head competition. Additionally, our local newscasts are ranked number one or two against English and Spanish competitors in 14 markets. Our local news -- our late local newscast rate number one or two in 8 markets regardless of language. During the full week our Univision and UniMás stations combined have a cumulative audience of 2.9 million Hispanics in our markets combined compared to Telemundo's 2 million Hispanics. We have 47% more viewers in Telemundo in our footprint and that reaches up 9% over the same period last year. Turning to our audio division, audio revenues were flat in the second quarter with both national and local revenues flat. This was in-line with a broader audio in history as Miller Kaplan estimates that for the 13 markets, which we subscribed, they too experienced flat growth during the second quarter. Further breaking out, our nation audio revenue, our national spot business was down 5%, while our national network business was up 13% compared to prior year. Our audio division results continue to benefit from our Entravision Solutions national audio network. The 13% growth achieved by the network was led by key brands such as Home Depot, O'Reilly, Anheuser Busch and AutoZone. A key driver of our audio network remains our industry leading content offerings that include Oswaldo Díaz, also known as Erazno y la Chokolata, Alex El Genio Lucas and Eduardo Piolin. These personalities are the top ranked Spanish language audio talent in our industry. All of them have a strong following on on-air, online as well as via mobile, overall Entravision Solutions audio network is attracting an increasing amount of advertising dollars and growing its audio share -- its audience shares. Our Entravision Solutions national audio network has 36 network advertisers during the second quarter, which was 6% compared to the prior year. A key contributor to this growth continues to be Erazno show, which had 15 active national advertisers, representing a 14% increase compared to the second quarter of last year. The Erazno network grew over $1 million in the quarter for the first time and more importantly because of its success, his show was the only Spanish language nominee for a Marconi Award for the best nationally syndicated show in the country. As all other four nominees for this prestigious award were premier English language national syndicated shows. We believe that this Marconi Award Nomination is another indication of the rating success, its reach of the U.S. Latino market and the mass appeal Erazno y la Chokolata show for both listeners and advertisers. Categorizing material growth for audio division in the second quarter included auto up 10%, healthcare up 13%, finance up 7%, services up 2% and then political which represented about $242,000 in revenue for the quarter. In Los Angeles, Latino market in the United States, KYY continues to be a top ranked Los Angeles radio station delivering a number of key demos for the most recent three book Nielsen survey April, May and June against the coveted Hispanic adults 18 to 49 and 25 to 54 demos. KYY has a number one afternoon drive show with Erazno y la Chokolata, the number three morning show with Alex El Genio Lucas and the number three radio station in prime time Monday to Friday 6 am to 7 pm. For the second quarter of 2016 Entravision Los Angeles cluster saw double-digit growth in local direct business on KYY posting a 15% increase. Our digital revenue for LA continues to significantly outpace the market in Q2 2016 with year-over-year gains of 54% versus 12.2% for the total market. Looking at our audio division ratings performance on all stations regardless of language in the adults 18 to 49 demographic. Erazno y la Chokolata show is in the top 10 and 9 of the 12 markets released for spring 2016 as of July 22. Alex El Genio Lucas is in top 10 in four markets and Piolin is in the top 10 in three markets. Across the 12 markets released by Nielsen Audio for spring 2016 as of July 22, eight of our radio stations are among the top 10 stations overall in their markets regardless of language among adults 18 to 49. Now lets move on to our Digital business. We continue to generate strong growth in digital revenues, which increased 55% during the second quarter and are up 41% through the first six months of the year. Our digital revenues accounted for approximately 9% of our total revenues in the second quarter. Our consistent digital performance is driven by what believe is a truly unique platform that combine strong online and mobile audience shares with engaging content and enhanced capabilities via Pulpo and Luminar assets. Our roster of digital advertising partners continues to grow. During the second quarter our digital teams worked with major brands including MetroPCS, Nissan, Microsoft, Wendy's, Covered California, Chrysler, AT&T, Kaiser Permanente and Heineken among others. And we once again generated solid broad-based growth across key advertising categories. Automotive was up 72%, while other key categories consumer goods and telecom were up 85% and 130% respectively. Retail was up 38% and healthcare up 51%. One key reason for the strong advertising sales performance is our digital reach. Today we deliver the largest digital U.S. Latino reach to advertisers. Our industry leading audience share is driven in part by Pulpo, which targets Latinos across all devices and platforms and then leverages Luminar's big data programmatic targeting and yield optimization tools. We build on this tremendous value proposition to engaging mobile centric digital content and offerings coupled with expanding social media presence. We continue to find our digit audience connecting with our content primarily through mobile devices as such mobile remains the center component of our digital strategy and platform offerings. U.S. Latino's particularly Latino millennials continue to over index on both mobile usage and mobile content consumption, not surprisingly mobile is our fastest growing revenue stream and has reached 27% of our total digital revenues. comScore continues to -- Pulpo is the number one digital platform for regional Latinos in the United States. The latest comScore numbers point out that our mobile audience shares continue to grow. comScore data shows we connect with 13.3 million unique Spanish dominant Latinos and 25 million unique bicultural Latinos through a mobile VR Pulpo network. It is important to note that our digital audiences across all acculturation levels, all key demographics as Spanish dominant bicultural and English Dominant Latinos. We've reached all corners of the total Latino market nationwide with our digital and traditional media assets. Turning to our station Web sites, which delivered an average of 2.9 million unique visitors during last quarter. We continue to focus on providing a robust content offering for our audience. During the second quarter, we published over 11,000 local new stories and over 5,000 videos across our station Web sites, which produced more than 21 million page views. We also strained over 6 million hours of audio entertainment during the second quarter to over 700,000 monthly unique visitors. We continue to expand our following and presence on major social media channels. Our cumulative social media engagement levels have passed 6.5 million followers across key networks including Facebook, YouTube, Twitter and Instagram. Overall, mobile remains a key area of focus for our digital team as we look to further strengthen our offerings and capabilities. This includes developing the apps and mobile first Web sites for our industry leading personalities such as Erazno y la Chokolata, Alex El Genio Lucas, [indiscernible] El Show De Piolin. We've also -- we've already launched an app Erazno y la Chokolata which was met with much fanfare and consumer adoption. Since launched in January the app has been downloaded 150,000 times. We will be announcing and demonstrating our integrated and branded digital video capabilities virtual reality and augmented reality in our September 29 Entravision Audio Network Upfront in New York. Our mobile offerings also include text and mms operations, we sent our 1.9 million over a 1.9 million text messages during the second quarter, with 60% of those messages being mms. We saw a 27% increase in overall usage levels over the same period last year. Overall, we are very pleased with the evolution of our digital business. We will continue to invest and expand our capabilities. We will increasingly focus on mobile first digital content, the best ad in marketing technology; the best data assets to target and deliver increased content value for our Latino audiences and increased return on advertising spend for our national and local clients. Now, let's take a look at our paces for the third quarter, looking first at Television. As a reminder, during the third quarter of last quarter our television business secured $5.5 million of non-advertising revenue relate to a channel modification transaction we made for -- made with a telecom operator. Excluding that non-advertising revenue, our television business is currently facing positive high single-digits including and excluding political. Our audio advertising revenue is currently pacing in the negative mid-to-high single digits including and excluding political compared to last year, but how did it work, trying to drive better performance for the quarter. Despite, having to overcome difficult quarter three 2015 radio comparables. Digital revenues are currently pacing approximately 40% above bookings at this point in third quarter of last year, including and excluding political. In summary, we had a second -- a good second quarter that was driven by solid growth across our television and digital segments. We are at the halfway point of the year and to-date have made solid progress executing a multi-platform strategy. This is particularly true on the digital side, while we continue to expand our capabilities and it is compelling new digital and mobile offerings. Our core television radio assets remain well positioned in their markets and we're focused on continuing to build our total share and connect brands with an attractive engage Latino audience expanding all platforms key demographics and acculturation levels. Finally, I would like to comment briefly on political. We are well positioned across notable swing states such as Florida, Colorado, Nevada, New Mexico, and Virginia visited by many has been a truly historic collection and it comes at a time when the Latino population has expanded rapidly in terms of population and political influence. Front running candidates will win or lose depending on the support they are able to muster from the Latino electorate. We expect to see the soft preconvention placement now moved slowly back into August but started to gaining more traction in our battleground markets, previously mentioned like Nevada, Colorado, Florida and Virginia. In addition, we believe down tick it raises critical for this election and they represent a significant part of our total goal expectations. Already unlike previous elections we have seen several campaigns, reserve inventory in the third and fourth quarters well in advance of what we normally see in an election cycle. At this time, I'll turn the call over to Chris Young, our Chief Financial Officer, for review of our financial information.
Chris Young: Thank you, Walter and good afternoon everyone. As Walter discussed net revenue for the quarter was up 8% at $64.8 million compared to $59.9 million in the same quarter of last year. Operating expenses increased 6% to $39.9 million and consolidated adjusted EBITDA was $18.2 million. During the second quarter of 2016, the company paid a cash dividend of $3.125 of share to shareholders of the company's Class A, B and U common stock. The total amount of cash dispersed for the dividend was $2.8 million. The company also announced today that the Board of Directors has to clear the quarterly cash dividend of $3.125 per share to the shareholders of the company's common stock payable on September 30, 2016. The total amount of cash we dispersed for this quarterly dividend will be approximately $2.8 million. As previously announced we currently anticipate making cash dividends on a quarterly basis in future periods. For the quarter, TV net revenue was up 8% to $39.2 million compared to $36.4 million in the same quarter of last year. The increase in our TV segment was primarily attributable to an increase in national advertising revenue and increase in political advertising revenue, which was not material in 2015 and an increase in retransmission content revenue. Political revenue for the quarter was approximately $700,000 compared to $100,000 in the same quarter of last year. Retransmission content revenue for the quarter was $7.5 million compared to $7.2 million in the same quarter of last year. Radio net revenue for the quarter remained constant at $19.6 million compared to the same quarter of last year. Political revenue for the quarter was approximately $200,000 compared to $100,000 in the same quarter of last year. Digital net revenue for the quarter was up 55% to $6.1 million compared to $3.9 million in the same quarter of last year. The increase in our digital segment was primarily attributable to increases in national and local advertising revenue. Operating expenses for the quarter were $39.9 million up 6% with TV operating expenses up 5%, audio expenses up 5% and digital expenses up 29%, excluding non-cash compensation expense. TV operating expenses were up 4%, audio operating expenses were up 5% and digital operating expenses were up 37%. Corporate expenses for the quarter were up 5% to $5.3 million compared to $5.1 million in the same quarter of last year, excluding non-cash compensation expense, corporate expenses for the quarter were $4.6 million versus $4.5 million in the same quarter of last year, an increase of 4%. Excluding non-cash compensation expense, the increase in corporate expenses were primarily attributable to an increase in salary expense. Income tax expense was $3.9 million for the quarter, while cash taxes paid was approximately $200,000. Given the elimination of our full valuation allowance in the fourth quarter of 2013, future income tax expense will run at approximately 40% of pretax income, of most of this expense will continue to be non-cash given our NOL offsets. Earnings per share for the quarter were constant at $0.06 per share, compared to same quarter of last year. Free cash flow as defined in our earnings release, increased 46% to $11.8 million or $0.13 a share for the quarter compared to $8.1 million or $0.09 per share for the same quarter of last year. Cash interest expense for the quarter was $3.5 million, compared to $3 million in the same quarter of last year, due to interest related to our swap agreements. Cash capital expenditures for the quarter were $2.6 million. Capital expenditures for 2016 for the entire year, are expected to be approximately $10.5 million. Turning to our balance sheet, as of June 30, 2016, our total debt was $314.7 million and our trailing 12 month consolidated adjusted EBITDA was $73.4 million. Cash on the books was $31.4 million as of 6/30/2016. In February of 2016 $30 million of cash was invested in a six month facility and is classified as short-term investments on our balance sheet. Net of $20 million of unrestricted cash in the books, our total leverage as defined in our 2013 credit agreement was 4 x even as of 6/30/2016. This concludes our formal remarks. Walter and I will now be happy to take your questions. Danielle, I'll turn it over to you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Michael Kupinski of Noble Financial. Please go ahead.
Michael Kupinski: Thanks for taking the question. Can you talk about the extraordinary growth in the auto category and a little bit about the pacings as it looks into the third quarter? And if you can remind me, what was auto as a percent of total television revenues and what was it at the peak? And just finally, is the strong performance in auto similar to kind of like that late stage economic cycles that the company experienced in the past or is it something pretty extraordinary that what we're seeing right now?
Chris Young: Well, auto just to look back, you're looking for peak levels, back in 2006 and we've talked about this before Michael. Auto saw a peak of around 30%, 31% of our total TV revenue. Auto and for television in the prior quarter represented 34% so we're beyond that peak, we are at peak levels as we speak. So, it's kind of a good news, bad news story, we'll take the revenue, but we are very wary of where we are in the cycle as a result.
Michael Kupinski: Are there other categories Chris that are -- I'm sorry, are there other categories that are kind of emerging that might kind of look like that they're gaining some strength as we kind of go into the second half?
Chris Young: Well, the legal services category which is a number two category that showed significant strength that was up double digits in the quarter as well. Grocery stores seem to be picking up as well with finance, so there are other categories, but nothing is coming close to the auto category. That's always been our number one category. And the primary driver of that over the past of couple of quarters hasn't been the national dollar per se but the local dealerships. Local dealerships were up almost 40% for a television group and that momentum for the past quarter and that momentum continues into the third quarter.
Walter Ulloa: Michael, to what Chris has said already, our automotive category continues to produce great result for the company. Part of this of our success in auto this last quarter was due to Copa Centenario, which is a soccer tournament that was held during the month of June that was certainly a great event for our audiences as well as for advertisers and automotive category was certainly a part of that. Total automotive was up 25% over the second quarter for including all of our entire platform, which would be our TV our radio and digital. So…
Michael Kupinski: I’m sorry.
Walter Ulloa: Go ahead.
Michael Kupinski: Finally, on an aggregate basis you talked about specifics on some of your radio programs and supports, but on an aggregate basis are rating up for the radio group?
Chris Young: The ratings are slightly off year-over-year compared to where we were this point last year.
Michael Kupinski: And what that would be attributable to?
Chris Young: I think the environment -- really what's happening in Los Angeles and Phoenix in particular that that market place has got much more competitive on the content standpoint. You have folks that have been tweaking -- competitors that have been tweaking their content and it's been showing progress. So that's something that we need to address and we're doing that as we speak.
Michael Kupinski: And finally, you mentioned the bookings were pretty strong on the political -- in the second half, is it -- is there anyway they couldn't add any color on that or frame bring that in terms of whether the rates are kind of improving now, is it tax money that's coming in, is it candidate money, any thoughts and guidance maybe in terms of political for the second half?
Walter Ulloa: Well, as you're aware Michael 80% of the political revenue will now -- well, for all of us will fall in the third and fourth quarters. The first and second quarter or the first half of the year, our political was certainly above 2012, but it was slightly behind where we wanted to be, but we are seeing strong momentum building for third and fourth. I think I mentioned that we have more bookings on the books at this time than we had in 2012. But, the conventions are over now; the campaign is starting to focus on the advertising and getting ready for the final push, which will be in September and October. So, we expect to see momentum continue to build here as we move through August and get towards the end of August and we'll see where we're at in terms of how bookings have developed.
Michael Kupinski: Walter, in past cycles what was the percent of presidential versus other political advertising whether it would be [indiscernible] or advocacy advertising?
Walter Ulloa: That's a good question Michael. All I can say to is, I know that it was substantially -- it was the major part of our total political advertising for 2012 and 2008. So had to take a number, I'd say probably 70, 30.
Michael Kupinski: I got it. Okay. All right. Thanks guys. I appreciate it.
Operator: The next question comes from Tracy Young of Evercore ISI. Please go ahead.
Tracy Young: Yes. Hi. Could you give us some color on digital expenses and for margins or where you think digital cost as a percentage of revenue by next year?
Walter Ulloa: Well, Tracy our expenses -- our revenue is up and as we indicated in our remarks. It was up 55% in Q2. And I think we're up over 40% through the first six months of the year. So we're very pleased with how our digital platform is performing, portfolio is the number one digital network to reach Latinos across all levels of acculturation. We also are spending more or investing more in our digital product through -- especially in the side of content, but our margins are probably somewhere, I think in second quarter what…
Chris Young: 12%.
Walter Ulloa: 12%, we expect them to be higher for the year certainly. We also expect that our total digital revenues will be about 10% of total revenue. And -- but, our goal is to get our digital to 20% of total revenues for the company by the end of 2017 and that would be through a combination of organic growth and as well as some acquisitions that we're looking at and adding to our current digital platform.
Chris Young: Just add to that Tracy I would, looking at that 12% performance for Q2, I would look for a margin expansion of somewhere between 2 to 3 points per quarter over the next couple of quarters to get us through the year on top of that 12%.
Tracy Young: Okay. Thank you very much. And then, just going back to the radio division, you mentioned on [cap] [ph] and you actually performed in line with the industry, so when -- as you look ahead is that you expecting deceleration or do you think that's where the industries had, could you just talk a little bit about that?
Chris Young: Well, Tracy I think one of the things that we're up against in the back half of the year that's when really our radio division started to shine. Q3, we talked about the pace early in Walter's remarks, remember Q3 for us last year our local ended up at plus 10, our national business ended up a whopping plus 27%. And all-end, the radio division was up 15%. So we're up against tough comps. If you look at the radio business sequentially this year, we continue to expect to see gains in the third and fourth quarter now where that stands against prior year numbers are different story just because prior year numbers were so strong that's kind of how we're looking at it right now.
Walter Ulloa: We also expect Tracy that political will have a -- will drive our radio revenue growth into quarter as well.
Tracy Young: Okay. Thank you.
Walter Ulloa: Okay.
Operator: [Operator Instructions] The next question comes from James Dix of Wedbush Securities. Please go ahead.
James Dix: Thanks. Good afternoon guys. I guess three things, just in terms of auto, you mentioned the strength in the dealers. I'm just wondering whether you've seen particular volatility or acceleration, deceleration from particular tiers historically and whether what you're seeing now is kind of consistent with that, but just simply the greater level, or whether you're seeing a different mix of growth than you've seen historically. And then second, just on political, I think Sinclair today called out an expectation for maybe a little bit more of a fourth quarter waiting to political this year, do you have a similar sense? They mentioned particularly the Trump campaign, so not sure whether that would affect you as much, but just curious whether you have any sense on the seasonality political being any different in particular this year than 2012? And then, I just have one follow-up.
Walter Ulloa: And so the question was, is the political, I will call it, cycle this year than in -- different than in…
James Dix: Yes. Do you think your political might just form, I saw a little bit more in fourth quarter than in prior election cycles?
Walter Ulloa: Well, it always…
James Dix: As it is, of course, at 3Q?
Walter Ulloa: Yes. As I said earlier like 80% of all of the political revenue falls in the third and fourth quarter. But we could see to your -- to the question you raised is, we could see even more of that total political revenue fall in the third and fourth quarter this year maybe five points more then we'll see 85% more this year in terms of the split between the first half and the second half. It is building later than we anticipated. But and it hasn't been a year that has a little harder to predict in terms of which was its headed. But, we continue to remain optimistic about our performance. We believe that our media assets that we operate in the fourth key swing states will be vital at this time as well to grow in our political revenue. All roads lead to Florida, we have media assets in Central Florida -- I mean Orlando and Tampa. Then we believe that that winner Florida will eventually have to persuade the Latino were elected to support them in order to come out with the victory. And the same with Colorado, Nevada and Virginia.
Chris Young: Of the automotive question between the tires the best trends are concerned, what I will say is that, we are sitting here looking at Q2 at about 10% of our total auto revenue was Tire 1 and 90% was Tire 2 and 3. Three, four, five years ago, it was about 30% of our auto revenue was coming from Tire 1 and the balance 70% was coming from Tires 2 and 3. So, it clearly looks like the local and regional side of the auto business is accelerating while the rate for growth for the Tire-1 money seems to be decelerating. I believe that's helpful. That's an observation.
James Dix: Yes. That's very helpful. And then, just my follow-up is, and just thoughts on the M&A environment. You mentioned a little bit the potential will require some digital assets over time. But I'm curious as to what you think might be your priorities in terms of just core TV stations, core radio stations, any sense as to where the market might be -- when and if the spectrum margin finally clears? Thanks.
Walter Ulloa: James, as far as traditional assets are concerned, media assets, there are a lot of opportunities for us out there right now. I mean look around and we continue to receive the calls from brokers and other people that are involved in these transactions. But, in terms of what we are looking for and there is not the right fit, it hasn't come along. That doesn't mean that the market will change and suddenly there maybe some more opportunities to grow our traditional media assets. But, a lot of our focus is on digital. We think that certainly the performance of our digital business and it gives us great confidence that we are on the right track. Mobile first is certainly first and foremost -- how we look at digital and as well as marketing technology, data and branded content. So, I think you are going to see us more and more looking for ways to grow a digital media platform, if there are some traditional media assets that are out there that we think are interesting, certainly that will enhance our total media platform as well. But, anyway, I think that's…
James Dix: Great.
Walter Ulloa: That number is out of our [indiscernible].
Chris Young: James, I think you are done right?
James Dix: Yes, done.
Chris Young:
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Mr. Ulloa for closing remarks.
Walter Ulloa: Danielle, thank you. And thank you everyone for participating on our second quarter 2016 investor call. We look forward to speaking to all of you in November. So, we will announce our earnings results for the third quarter. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.